Operator: Good day, and welcome to the Pebblebrook Hotel Trust Second Quarter Earnings Call. Today's conference is being recorded. At this time, I’d like to turn the conference over to Ray Martz. Please go ahead, sir.
Raymond Martz: Thank you, Eric. Good morning, everyone. Welcome to our second quarter 2015 earnings call webcast. Joining me today is Jon Bortz, our Chairman and Chief Executive Officer. But before we start, let me remind everyone that many of our comments today are considered forward-looking statements under federal securities laws. These statements are subject to numerous risks and uncertainties, as described in our 10-K for 2014 and our other SEC filings, and could cause future results to differ materially from those expressed in or implied by our comments. Forward-looking statements that we make today are effective only as of today, July 24, 2015, and we undertake no duty to update them later. You can find our SEC reports and our earnings release, which contains reconciliations of the non-GAAP financial measures we use on our Web site at pebblebrookhotels.com. Okay. So we have another good quarter to tell you about and a lot to update you on since we last spoke. Let’s get started. Our second quarter performance was noteworthy, especially our same-property EBITDA growth and overall progress on best practice implementation which was -- which limited expense growth and led to a very healthy margin increase, all which exceeded our expectations. This help to offset the more than modest RevPAR growth, which is below our expectation. Same-property RevPAR for the total portfolio climbed 3.8%, to $217. This was below our outlook for RevPAR growth of 4% to 6%. Our ADR growth was healthy, a 4.8% as we’re able to drive rates in many of our recently positioned and renovated properties by remixing our customer base, while sacrificing some occupancy in the process, which declined 0.9% during the quarter. Later in our call, Jon will provide additional color on the progress we made repositioning several recently acquired or renovated hotels. This overall remixing strategy, as well as our continued asset management efforts enabled us to drive profitable EBITDA growth as our same-property EBITDA margin increased 236 basis points in the quarter to 36%, well above our expectation of 100 to 150 basis point increase, with the same-property EBITDA growing a strong 10.6% in the quarter. On a monthly basis, RevPAR for the portfolio increased 2.5% in April due to the Easter and Passover holiday shift, which was anticipated. May was up 2.1% and June increased 6.8%. Transient revenue which makes up about 75% of the room night demand for the portfolio was up 5.6% compared to the prior year with ADR growing 4.2%. Group revenues increased 0.9% with ADR up 7.1% and Group room nights down 5.8%. As a reminder, our Q2 RevPAR and hotel EBITDA results are same-property for our ownership period and include all the hotels we owned as of June 30, except for LaPlaya Beach Resort since we did not acquire this hotel until May 21, and Tuscan Fisherman’s Wharf since we didn’t acquire this hotel until June 11. Our hotels do not exclude hotels under renovation. RevPAR growth in the quarter was led by Vintage Seattle, Modera Portland, Vintage Portland, Monaco DC, and Sofitel Philadelphia. Food and beverage revenues for the portfolio declined 1% or $0.5 million compared to last year. This was primarily due to the WLA where our restaurant space was largely under renovation and being re-concepted into early July, but has since been relaunched by our new third-party tenant STK Los Angeles just three weeks ago. We now received rent which is included in the other operating income category of the income statement. In addition, our food and beverage outlets at The Nines, particularly, Departure and Palomar San Francisco with Dirty Habit performed notably well during the quarter.
food and beverage Palomar: Part of this benefit relates to the reclassifications attributable to the 11th edition changes which cloud direct comparisons, but most of it is due to our sustained asset management efforts to improve profitability within our food and beverage operations. Same-property Hotel EBITDA percent -- percentage growth meters in the first quarter were Hotel Vintage Seattle, Palomar San Francisco, Westin Coral Gables, Westin Gaslamp San Diego, and Revere Boston Common. Because of the strong property level EBITDA growth generated by our portfolio during the second quarter, adjusted EBITDA increased 39% and adjusted FFO per share climbed 28.6% compared with the prior year period. Year-to-date, adjusted EBITDA has climbed a robust 36.3% and our adjusted FFO per share has grown 28% versus last year. Now let's shift our focus to our acquisition and capital investments since we last updated you during our first quarter call. On May 21, we acquired the 189 room, ocean front, luxury LaPlaya Beach Resort and LaPlaya Beach Club for a combined purchase price of $185.5 million and a forecasted first-year EBITDA yield of 8% on our purchase price. These numbers do not include the cash flow generated from net initiation fees at the Beach Club, which in just our first two months of ownership was over $400,000. And on June 11, we acquired the 221 room upperupscale, full-service Tuscan Fisherman’s Wharf Hotel for $122 million and a forecasted first year EBITDA yield of 7.1%. The Tuscan is located at just one block from our recently redeveloped Hotel Zephyr. We are very excited about the upside potential of both of these new acquisitions. To fund these acquisitions, we originated two new term loans totaling $225 million and we also utilized our unsecured credit facility which was upsized to $450 million in the second quarter in anticipation of these acquisitions. As of today, we have $200 million outstanding on our $450 million unsecured credit facility. Our debt to EBITDA ratio is 4.9 times, our fixed charge ratio is 3.1 times, and we have no debt maturities in the Q1 2016. Of our currently outstanding debt, 86% is at fixed rate and 14% is at floating rates. All of our floating rate debt is attributable to the outstanding balance on our credit facility. We will continue to evaluate opportunities to lock in fixed rates, while also extending out our debt maturities. Turning to the capital reinvestment projects, during the second quarter we invested $28.1 million across a number of our hotels, which included the completion of the renovation and expansion of WLA and STK Los Angeles and successful renovation launch of Hotel Zephyr Fisherman’s Wharf San Francisco and a 10 room addition at Dumont NYC. Year-to-date, we’ve invested $55.2 million into our hotels as part of our capital reinvestment programs. I’d now like to turn the call over to Jon, to provide more color on the recently completed quarter, as well as our outlook for the remainder of 2015. Jon?
food and beverage Palomar: Part of this benefit relates to the reclassifications attributable to the 11th edition changes which cloud direct comparisons, but most of it is due to our sustained asset management efforts to improve profitability within our food and beverage operations. Same-property Hotel EBITDA percent -- percentage growth meters in the first quarter were Hotel Vintage Seattle, Palomar San Francisco, Westin Coral Gables, Westin Gaslamp San Diego, and Revere Boston Common. Because of the strong property level EBITDA growth generated by our portfolio during the second quarter, adjusted EBITDA increased 39% and adjusted FFO per share climbed 28.6% compared with the prior year period. Year-to-date, adjusted EBITDA has climbed a robust 36.3% and our adjusted FFO per share has grown 28% versus last year. Now let's shift our focus to our acquisition and capital investments since we last updated you during our first quarter call. On May 21, we acquired the 189 room, ocean front, luxury LaPlaya Beach Resort and LaPlaya Beach Club for a combined purchase price of $185.5 million and a forecasted first-year EBITDA yield of 8% on our purchase price. These numbers do not include the cash flow generated from net initiation fees at the Beach Club, which in just our first two months of ownership was over $400,000. And on June 11, we acquired the 221 room upperupscale, full-service Tuscan Fisherman’s Wharf Hotel for $122 million and a forecasted first year EBITDA yield of 7.1%. The Tuscan is located at just one block from our recently redeveloped Hotel Zephyr. We are very excited about the upside potential of both of these new acquisitions. To fund these acquisitions, we originated two new term loans totaling $225 million and we also utilized our unsecured credit facility which was upsized to $450 million in the second quarter in anticipation of these acquisitions. As of today, we have $200 million outstanding on our $450 million unsecured credit facility. Our debt to EBITDA ratio is 4.9 times, our fixed charge ratio is 3.1 times, and we have no debt maturities in the Q1 2016. Of our currently outstanding debt, 86% is at fixed rate and 14% is at floating rates. All of our floating rate debt is attributable to the outstanding balance on our credit facility. We will continue to evaluate opportunities to lock in fixed rates, while also extending out our debt maturities. Turning to the capital reinvestment projects, during the second quarter we invested $28.1 million across a number of our hotels, which included the completion of the renovation and expansion of WLA and STK Los Angeles and successful renovation launch of Hotel Zephyr Fisherman’s Wharf San Francisco and a 10 room addition at Dumont NYC. Year-to-date, we’ve invested $55.2 million into our hotels as part of our capital reinvestment programs. I’d now like to turn the call over to Jon, to provide more color on the recently completed quarter, as well as our outlook for the remainder of 2015. Jon?
Jon Bortz: Thanks, Ray. So as Ray said, the second quarter was another great quarter for both the lodging industry and for Pebblebrook. When we look at the second quarter's overall industry trends, strong performance was driven by both transient and group demand, with transient having a slight edge in demand and group having a slight edge in ADR growth for the first time this cycle. Industry data show that April was robust for group, but May and June were softer. We don't think this is necessarily a trend as the commons coming out of the brands show a fairly broad and deep perspective on industry-wide performance continue to indicate that they believe group will be strong in the second half of the year. Overall, transient travel, both leisure and business, remained healthy in the second quarter. The weekday travel in May was soft. In fact, May overall was weaker than expected, so June certainly bounced back with industry RevPAR growth of 7.2%. Total U.S demand growth was not as strong as in Q1, likely due to slightly softer group demand particularly in the quarter for the quarter and moderating growth in international travel due to a strong dollar. Industry demand grew 2.7%, a very healthy level by historical standards. So that was down from the first quarter’s 4.2% growth rate, but well within our beginning of year forecast of 2% to 3% demand growth for the entire year. With industry ADR increasing a healthy 4.8%, RevPAR for the industry climbed 6.5% in the second quarter of the year, slightly weaker than what we had been expecting going into the quarter, again primarily due to weaker performance in May. As a result of the first quarter's results, and our visibility into the rest of the year, we remain extremely comfortable with our 6% to 7% RevPAR growth outlook for the industry for this year. This is not the case for our RevPAR outlook as we will discuss in more detail later. Our RevPAR growth of 3.8% in Q2 was disappointing and fell short of our outlook, primarily as a result of a much slower than expected recovery at our two major renovations, WLA and Radisson Fisherman's Wharf, greater than forecasted loss occupancy at a number of our properties where we are strategically repositioning them from a rate perspective and slightly weaker than expected performance in three markets, Miami, San Francisco, and West LA. Performance at our hotels in New York City was in line with our forecast back in April, which means they performed better than the first quarter, but still struggled in a negative performing overall New York City market. RevPAR at the six hotels in the Manhattan collection declined by 5.5% in the quarter. The rest of our portfolio grew RevPAR by 5.4% and without WLA and Hotel Zephyr, the number was 7.2%, but there was no widespread weakness in the quarter. Manhattan Collections performance compares to a decline in the Manhattan markets RevPAR of 2.2% as a result of demand growth of 1.3%, supply growth of 2.3%, and an ADR decline of 1.3%. While performance in Manhattan and at our portfolio was improved from the first quarter, it was still very challenging. And again, while we expect both to further improve in the second half, we continue to expect the market to be challenging. We had better than expected performance in a few markets, as well in the second quarter, including Washington DC, which had a great year-over-year convention calendar and an active Congress, imagine that, San Diego which also was [indiscernible] by a great convention calendar and Philadelphia a third market benefiting from a very strong convention calendar particularly in June. Despite relatively modest RevPAR growth of 3.8%, we were able to exceed our same-property EBITDA, EBITDA growth rate, and EBITDA margin outlook for the quarter. We achieved strong growth of 10.6% in same-property hotel EBITDA, exceeding the top end of our outlook by $800,000 and representing more than 100% flow-through of revenues to EBITDA in the quarter. An accomplishment our team has particularly proud of, given the fact that our same-property revenue growth rate was just 3.4% as it was stunted by numerous factors. Same-property EBITDA margin grew a very strong 236 basis points in the second quarter, well ahead of our 100 to 150 basis point outlook. So how did we achieve this? First, we made significant efforts at a number of our more recently acquired properties to drive rate with the willingness to give up some occupancy, which was already high last year in the second quarter at 88% for the portfolio. As a result more than 100% of our RevPAR growth came from ADR growth, helping achieve better flow. Second, while our occupancy rate overall declined almost 1%, we only had 0.3% fewer actual rooms occupied, because we had 51 additional rooms this quarter compared to last year with 39 of those a result of the comprehensive renovation and reconfiguration of the WLA. So while same-property RevPAR only increased 3.8%, total same-property room revenues actually increased 4.5%. Third, we continue to make great progress implementing our best practices with a special focus in the area of our food and beverage operations throughout the portfolio. And the efforts of our team and our partners at the property level resulted in same-property expenses actually being reduced by 0.3% in the second quarter. We were aided by a true-up of our real estate property tax accruals at the Argonaut for the period from our acquisition date. We finally got this statutory reassessment and our savings in the second quarter were just under $500,000 compared to what we had accrued since the date of our acquisition back in early 2011. Without this one-time benefit, same-property expenses would have increased, but by just 0.1%. Hotel EBITDA growth was widespread in the quarter. 21 of over 35 properties grew EBITDA by greater than 10.6%, which was our portfolio wide performance. Obviously, RevPAR growth for our portfolio underperformed in Q2. At WLA following the completion of the comprehensive renovation in March, it's taking the team longer to ramp demand back up following five months of negative customer comments and experiences during the renovation. Perhaps our previous expectations were unrealistic and we were overly optimistic given the level of disruption that occurred while we were open. The good news is the customer reaction to the new product has been very favorable. And while we now expect to be a slow recovery from construction, we believe we will ramp up to the same $4 million level of improved EBITDA that we were previously forecasting, including benefiting from additional 39 rooms. Furthermore, two weeks ago our new leased restaurant STK opened in conjunction with our grand opening party and this should help us gain momentum in the hotels recovery. In addition, the renovation of the Radisson Fisherman’s Wharf was completed last month and the property converted the Hotel Zephyr on June 7. The customer reviews have been excellent and we’ve already moved past our pre-renovation ranking on TripAdvisor in just one month. And we expect to improve substantially in the rankings as we increase the number of reviews. Our grand opening party was last night and it was a big hit with our customer base. If you look at our RevPAR growth without Zephyr and WLA, in order to understand the impact of just these two properties and understand the performance of the rest of the portfolio, same-property RevPAR increased by 5.2%. So there was about 140 basis points of negative impact. For the six months of the year, we grew same-property EBITDA by a strong 10.7% with same-property EBITDA margin growth of 204 basis points, as a result of same-property revenue growth of 3.5%, and same-property expenses being held to just 0.6% growth. That's a flow-through of 89% of same-property revenue growth to same-property EBITDA, or looked at another way, the 10.7% growth in same-property EBITDA is 2.8 times the year-to-date RevPAR growth rate, up 3.8%. Again, for the first-half, strong performance has been widespread, with 19 of 35 hotels growing EBITDA by more than 10.7%, which is our portfolio wide performance year-to-date. As has been the case, in prior quarters, our West Coast properties continue to outperform our East Coast hotels, though the margin of difference narrowed in the second quarter. In Q2 on the same-property basis, our West Coast properties grew RevPAR by 4.1%, while our East Coast hotels grew RevPAR 3.4%. Clearly, the 4.1% RevPAR growth on the West Coast is nowhere near the much stronger growth the markets achieved in the quarter. The lower performance had a lot to do with a significant negative impact of a hangover from the comprehensive renovations at WLA and Radisson Fisherman's Wharf, which was significantly greater than we had expected. RevPAR at WLA declined 9.9% in Q2, though EBITDA still grew 6.1%. And RevPAR declined 13.9% at Radisson Fisherman's Wharf, now Hotel Zephyr with EBITDA declining 29% on the hotel portion of the property. If we exclude these two properties in order to better understand the underlying trends, our West Coast RevPAR was up 6.7% as opposed to the 4.1% with them included. If we look across our portfolio by market, our strongest performing markets for our hotels in those markets by RevPAR growth were Seattle at 15.3%, Philadelphia at 11.4%, Washington DC at 10.3%, Boston at 10%, Portland 9.3%, and San Diego 9.1%. Our weaker performing markets for our hotels included West LA, excluding the WLA at 5%, Miami at 3.7%, San Francisco excluding the Radisson or Zephyr at 3.7%, and New York City at minus 5.5%. And as we described in our last call, the outlook we provided was based on the assumption that we would experience some bumps in performance at our most recent acquisitions as we reposition them through customer and mix changes with a focus on achieving substantially higher rates. Well, we continue to experience those bumps in the second quarter, and they were greater than we had expected, as evidenced by the specific results at four of those properties, Revere Boston Common, Palomar Beverly Hills, Union Station Nashville, and Westin Coral Gables. We are making very good progress on ADR growth, while we sacrifice occupancy unfortunately at a greater rate, thus impacting RevPAR growth that we’re achieving healthy growth in EBITDA. Here are the specifics. At the Revere Hotel Boston Common, occupancy declined 2.9%, while ADR climbed 12.4% and EBITDA increased 21.8%. At Westin Coral Gables, occupancy declined by 3.3%, while ADR grew 9.2% and EBITDA climbed 41.3%. At Union Station Nashville, occupancy declined by 0.4%, while ADR grew 8.2% and EBITDA grew 13.6%. And at the Palomar Beverly Hills where we’ve had the biggest bumps as we’ve changed out the entire management team, occupancy declined by 7.4% while ADR grew 5.3% and EBITDA declined 13.6%, so over 70% of the decline in EBITDA is attributable to an increase in real estate taxes related to the reassessment and acquisition. We expect that as we have increasing success finding new business at each of these hotels over time, we will be able to remix our customer segmentation and successfully drive ADR without losing significant occupancy. Now I would like to bring you up to date on our redevelopments since they are so important to delivering outsized growth at Pebblebrook over the next 3 to 5 years. We just returned from San Francisco where we held our latest Board meeting earlier this week and stayed at and toured Hotel Zephyr. And I can report to you that the property is now a truly unique San Francisco experience. While the renovated guestrooms are fantastic, the lobby, the yard, and the game room are spectacular and already being actively enjoyed and used by our customers in large volumes from morning until the wee hours of the night in a way that I’ve never seen before in a hotel. As we generate significant occupancies and the great reviews and buzz build, we are very confident that will grow our average rate by significant levels and drive very substantial value creation at Hotel Zephyr. We intent to turn our redevelopment focus of the property next to the retail frontage along Jefferson Street across from the Embarcadero that generates our highest retail rents. Most of our leases well over in 2017 and we believe in experience or redevelopment consistent with the hotels transformation, will allow us to not only substantially improve the quality of the merchandising, but drive increased rents as well. Ray and I have already spoken at length about the re-creation of WLA, but I would like to mention a couple of additional substantive items about the properties redevelopment. First, as part of the reintroduction of the hotel into the market, we move the hotel will not literally of course, but we did rename the hotel using the well-recognized Beverly Hills location in the new name, which we believe will improve the hotels image, search results, and international visibility and consequently increased demand for the hotel. Obviously, Beverly Hills is world-renowned whereas Westwood is barely known by even LA locals. Second, the addition of a very successful restaurant operator in STK, which relocated their West Hollywood location into the W, just weeks ago is already adding significant energy, buzz, and quality to the hotels existing and popular customer offerings including our large renovated rooms, a Bliss spa, and an outdoor oasis in the hotels backyard. Third, STK will also be redeveloping the outdoor restaurant venue later this year and the creation of the hideout, the name of the new venue will add further buzz and momentum to the hotels recovery and repositioning as a unique LA experience. While we don't expect to reach our financial targets for at least three years, which is typical for our major redevelopments, the additional 39 rooms and the higher average rates will drive significant value creation for Pebblebrook. Last quarter we talk about the completion of our transformational redevelopment and repositioning of Vintage Portland and its reopening in March following a $10 million capital investment at this small 117 room property. The hotel is now an authentic Portland experience with a focus on Oregon wines, and Portland’s attitude probably described by Portlanders as Portland weird. Those in the industry who have toured the hotel have drawn parallel to the uniqueness of Hotel Zetta, though the design is total different and geared to creating a true Portland experience. Customers seem to really love it, as we’ve already climbed to number five in the Portland market and TripAdvisor’s customer driven hotel rankings and that’s occurred in just four months following reopening the hotel. We will be reconcepting the restaurant over the next 12 to 18 months, hopefully through a lease with a third-party restaurant operator just as we did at Mondrian LA and W LA West Beverly Hills. Again, while performance in Q2 was pretty good with RevPAR increasing 12.3% as a result of ADR achieving 18.5% growth at the expense of a 5.2% decline in occupancy. We still think it will take three years to maximize the performance improvement from the repositioning of the hotel. At Palomar San Francisco where we renovated the lobby, corridors and public areas and made edgy design improvements in the rooms last winter. We have transformed the hotels personality into a unique San Francisco experience and we materially improved performance on the hotel side. We have also benefited on the hotel side from the incredible popularity of Dirty Habit, the new bar concept we created to replace the hotels previously unsuccessful fifth floor restaurant outlet. In Q2, with RevPAR increasing 7.7%, EBITDA climbed a whopping 45.9% of the hotel. And Dirty Habit is on track to deliver $1 million or more of EBITDA on a fully loaded basis this year in addition to making the hotel more desirable. Following last spring is equally transformational renovation and repositioning of Vintage Portland sister property Vintage Seattle, we have begun to see much improved results a year later. In Q2, RevPAR climbed 24.9% with ADR growing 10.9%. Not bad, but nowhere near where we expected to grow over the next two years. This strong RevPAR growth drove a robust 59% increase in the properties EBITDA. And the hotels ranking on TripAdvisor has now moved one spot past Monico Seattle and climbed to number 6 out of 98 hotels in Seattle. Customer reaction to this unique Seattle experience has been fantastic and we expect continued strong growth and performance at Vintage Seattle. We also have several upcoming transformational projects we've been working on. We have completed the redesign and revisioning of Hotel Prescott, which also includes the creation of 31 additional keys. This $35 million complete redevelopment will reposition the hotel from a 3.5 diamond level to a four diamond level and we targeted rates of the hotel level, the Hotel Zetta once stabilized which is a $90 differential today. We believe this will improve EBITDA by roughly $6 million in today’s dollars once stabilized in several years. We plan to close the hotel in November 1. We have all permits in hand and we expect to reopen the property by early in next year second quarter. At that time the property will be renamed Hotel Zeppelin and our vision is to create a 1960s and 70s San Francisco cultural experience. Thus today’s song. We are very excited about this future addition to our unofficial Z collection in San Francisco. Late this quarter, we also expect to commence a comprehensive renovation and repositioning of The Westin Colonnade Coral Gables which we acquired in the fourth quarter last year. Design plans are complete and our goal is to reposition this hotel to the top of the very attractive business and social Coral Gables hotel market. Upon completion of the redevelopment early in the second quarter of next year, we plan to rename the property as Hotel Colonnade Coral Gables. And we’re excited to announce that we will be affiliating the hotel with Starwood's newly created four diamond quality tribute portfolio collection. Lastly, we are in the process of revisioning the recently acquired Union Station Nashville, Tuscan Fisherman's Wharf, and Revere Boston Common with the renovation of Union Station Nashville taking place next summer and the redevelopment of the Revere and the Tuscan occurring over the winter of 2016, ’17. These redevelopments and their ramp ups should aid in delivering stronger growth in 2017, 2018, and 2019 which should help to extend our higher relative growth rates in those out years. Now let me turn to a quick update on our outlook for 2015. We continue to expect 2015 to be a great year for both the industry and Pebblebrook. On RevPAR, our forecast for the industry remains 6% to 7% for the year which does suggest some slight moderation in performance following the first half’s 7.2% growth. That's no change from our forecast at the beginning of the year. For our portfolio, we are lowering our same-property RevPAR outlook for the year, while maintaining our same-property EBITDA growth rate as we sacrifice some occupancy in RevPAR growth and by the way more than we would like for better margins and strong same-property EBITDA growth. As mentioned earlier the largest part of the reduction in our RevPAR outlook relates to a slower than expected ramp up following construction at both WLA and Hotel Zephyr included in the second half of the year. Our same-property RevPAR growth comes to a range of 4.5% to 5.5% from a range of 6.5% to 7.5%, while our same-property EBITDA growth remains in the same range of 9% to 12%. The nominal numbers for same-property EBITDA and adjusted EBITDA also remain unchanged for our -- from our prior release provided at the time of the acquisition of the Tuscan Fisherman’s Wharf. For Q3, we are forecasting our same-property RevPAR to increase by 46%. Our same-property hotel EBITDA range for Q3 is $87.5 million to $89.5 million with same-property hotel EBITDA increasing by 7% to 10%. In Q3, we expect performance as bigger than the industry in the Washington DC, Miami, and Buckhead markets. We also expect New York City to continue to under perform due to ongoing pricing pressures, though we expect New York’s performance to improve from this past quarter, which was also improved from the first quarter. We expect healthy market performance either at or above the industry in West LA, San Francisco, Boston, Philadelphia, Nashville, Portland, San Diego and Seattle. All other assumptions for our outlook remain unchanged. Economic and travel trends remain supportive of our forecast of strong growth for 2015. On a trailing 12 month basis through June, industry occupancy achieved a new all-time high of 65.2% and should exceed it next month and set records for at least the next couple of years as demand growth is likely to continue to exceed supply growth. This bodes well for increasing pricing power and higher ADR growth. For Pebblebrook when we look at our pace as of the end of June, total group and transient revenue on the books for the second half of this year was up 3.2% over the same time last year with ADR up 5.2%. Group room nights for the remainder of the year are down 5.8%, with group ADR up 3.9% and total group revenue down by 2.1%. Transient room nights on the books for the second half were up 2.8% with transient rate up 5.9% and total transient revenues on the books up 8.4%. In an encouraging sign, in the year for the year total revenue bookings improved in May and June from a earlier in the year as we get further from our renovations and we gain some momentum in our ADR repositioning. As we take an early peek in the 2016, we are very encouraged by both our group pace and convention calendars throughout our markets. While very early our group pace is up 7.3% in 2016 with room nights down 1.6%, but ADR up 9%. And as we look at our various markets, convention calendars look better in 2016 in San Francisco, Atlanta, Boston, San Diego, Washington DC, Portland, and Nashville and they currently look similar to 2015 and pretty much the rest of the markets. To wrap up, we continue to expect 2015 to be another terrific year for both the lodging industry and Pebblebrook. Underlying industry fundamentals remain very healthy and we don't see any trouble ahead. We have got tremendous opportunity in the existing portfolio to drive ADRs and RevPARs higher as a result of renovations completed in previous years as well as recent and upcoming renovations and repositioning. We also expect to continue to significantly improve margins as we make additional progress with the implementation of best practices and through role lots of focus and hard work by our operators and our entire team. So that completes our prepared remarks. Operator, we would be happy to take questions now.
Operator: Thank you. [Operator Instructions] And we'll take our first question from Rich Hightower with Evercore.
Rich Hightower: Hey guys, good morning.
Jon Bortz: Good morning.
Rich Hightower: Thanks for all the detail. I think that was very helpful. So you guys have said a couple of times that the second-half in New York looks better than the first half and given that it is such a transient market with short booking windows, what data points do you think you can point to in your bookings or what else you're seeing on the market that really gives you confidence in making that prediction?
Jon Bortz: Yes. Two things, Rich. One is we’re looking at the ongoing trends in the market and in the numbers as reported by Smith Travel. We are also looking at the pace of our bookings and our booking pace which was significantly more negative in the first half of the year than it is in the second half of the year. So we have seen an uptick in the pace of bookings. They are stronger months seasonally and so new supply becomes less important as an impact in the stronger months than it is when everybody is fighting for not enough demand to fill their hotels in the seasonally slow periods of time.
Rich Hightower: Okay. Thanks, John. And then a question on the, I guess, the renaming and repositioning in Coral Gables, did you guys consider other options from making that hotel part of Starwood’s Tribute collection? If you had other choices with other brands, I forget the specifics there, but just what led you to decide on that branding specifically?
Jon Bortz: Sure. So when we bought the hotel, the existing honor was actually looking at rebranding it and affiliating with a different brand family. And the way we deal with our operators, the way we look at our relationships, we generally won't do that. So what we did when we bought it is we went to Starwood and we said look, we’re going to look at two choice here because we think Westin while it’s a wonderful flag for what we want to do with the hotel in terms of substantial repositioning up, we think it's a limiting factor. And so we're either going to make it independent which we are very comfortable with or will allow you the opportunity to convince this that there is an up brand within the Starwood family that would allow us to achieve the kinds of ADR and EBITDA targets that we're forecasting. But we won't hit you against another brand, that's just not our approach to our relationship. And so what we consider was going independent and at the end of the day we came to the conclusion that it would be better for us to bring in Tribute, maintain the property within the Starwood system, yet be able to have all the flexibility that wanted and that we would typically have as an independent hotel.
Rich Hightower: Great, thanks. And then finally one quick one for Ray, given the number of 2016 maturities that are upcoming, any initial read on what you might be able to do there?
Raymond Martz: No, we are evaluating couple of options either looking at the CMBS market, additional bank loans, term loans or other. So we’re going through that process now. We can begin to start prepaying some of that debt actually in the fourth quarter. So we want to be in position of that, but right now that’s a great debt market. Even though there has been a little more volatility in the world over the last couple of months, we think there is a ton of debt capital as we feel really good about it. And we will also look at opportunities here to have some longer term debt. So the loans we’ve done this past quarter or two have been 5 to 7 year range, We will look at something -- call it a 10 year range or so, range or so to help extended maturities.
Rich Hightower: Okay. Thanks, guys.
Raymond Martz: Thanks, Rich.
Operator: We will go next to Anthony Powell with Barclays.
Anthony Powell: Hi. Good morning, guys.
Raymond Martz: Hey, Anthony.
Jon Bortz: Good morning.
Anthony Powell: So it seems like across your portfolio as you try to increase ADR that you’re seeing occupancy declined a bit more than you thought. What do you attribute that trend to? Is it price sensitivity or something else going on?
Jon Bortz: No, actually -- it really we’re having the drops in occupancy that we’re talking about. They really relate to properties that have either been renovated and repositioned and so what happens when we do that and we raise our pricing and we change our mix, we loose customers more quickly than we gain customers. And the new customers we’ve to go out and get. You can’t just raise prices and expect the same economic base of customers to pay significantly higher ADRs. So it's a natural consequence of these transformational redevelopments and these fairly dramatic repositioning that go on with in our portfolio. We don't think and we haven’t really been seeing, I mean, outside of New York where pricing has been a challenge and occupancy certainly hasn't been. We really don't see any pricing pressure in terms of general market pushed back within the portfolio. So really it is property specific and it totally has to do with the need to go out and get new customers willing to pay higher rates and that just takes more time than customers who see raise rates going away.
Anthony Powell: Got it. Okay. And just on the margin increases, it been pretty impressive. Do you think there is sustainable in future years, especially in food and beverage and will you be able to just keep finding opportunities also in the portfolio?
Jon Bortz: Yes, we think we still have a lot of opportunity within the portfolio, particularly on the food and beverage side through both re-concepting and basically outsourcing through third-party leases. As customer -- the customer desires change; we simplify a lot of our outlets within our facilities. We modify and simplify room service or eliminated it or change it. We think there is a lot of opportunities on the food and beverage side. There are a ton of opportunities on the energy-saving side as we buy properties. There are significant opportunities for management and staffing efficiencies as we buy our hotels and I will give you an example. I mean, we just bought LaPlaya two months ago, and we’ve already identified almost $700,000 of expense reductions and that's just in the first two months and that's not really touching the food and beverage outlets or the club at the facility. So there is lots of opportunities when we buy assets particularly from owners who are not actively involved from an asset management perspective or who aren’t particularly sophisticated on that side. The other thing I would say and just to point out for everybody's benefit, the success we had in the quarter and that we expect for the rest of the year and on an ongoing basis, these are improvements in the run rate. These are not cost controls. We are not pulling the range and saying hey we need to do better this quarter. What we are doing is here making improvements in the efficiencies of these hotels. And so some of the projects take longer. They require capital investments. If we are going to lease spaces out, it can take years before we can find a new tenant, get a lease signed, get them to build out their space and get it open and then you got a year to annualize those benefits. So there is still significant -- significantly larger number of opportunities within the portfolio.
Anthony Powell: Right. Great. Thank you.
Raymond Martz: Thanks, Anthony.
Operator: The next question is from Bill Crow with Raymond James.
William Crow: Hi, Good morning, Jon. Couple of topics this morning. It seems to me we have a little bit of a crisis in confidence surrounding the cycle in particular the opaqueness surrounding the, The Kimpton, The InterContinental situation doesn’t help. Specifically on Pebblebrook, it’s hard to remember a time when the renovation ramp, the disruption, the up-scaling et cetera conspired to drive such a vast change to your outlook. In other words, your past successes in handicapping how these things would play out and achieving or at least exceeding the expectations has made for high expectations. And so, now when we get the shortfall or the downward revision, I think it becomes amplified. So, do you start to -- second guess underwriting on some recent acquisitions or does the ever increasing importance of online reviews, and you alluded to that, make your second guess the impact, and a sustained impact of renovations and disruptions. Does that change your view and value creation, and how you underwrite that over the long-term?
Jon Bortz: Yes. Good question, Bill. The answer is a pretty simple, no. Nothing changes. And I want to highlight, we can focus as a company on top line if we want. But what we’re focused on is delivering growth in the bottom line and sustainable growth in the bottom line because that’s what leads to value creation. So, people shouldn’t get overly hung up on or over enthusiasm as we underwrite growth coming out of renovations. We’re not perfect. We make mistakes. Sometimes we’ve underestimated how quickly something would ramp as was the case with Hotel Zetta, with Monaco Seattle, with the Minneapolis Grand as examples. And here is a good example in the second quarter where we made a mistake in the other direction and it shows up in the top line numbers in those properties in particular. And it shows up in the other four properties that we’re trying to reposition just from an ADR perspective. And as indicated by the numbers that we provided, the bottom line numbers both individually and for the company are still superb. And I would hope people, what people are focused on is delivering the double digit same property EBITDA growth throughout the portfolio and a key part of that value creation, that ability to grow those numbers so substantially has to do with repositioning these hotels within their markets. I would tell you by in large, over in getting to stabilization almost all of these projects have performed well in excess ultimately in what we underwrote. So the returns on the capital that we’re investing have been quite large and evidenced by the ability to continue to maintain this growth rate that we’ve had with not only double digit same store EBITDA growth pretty consistently over the last four and half to five years, but also to drive that growth in cash flow per share and FFO per share and the cash flow per share ability to pay the dividend which is also been growing substantially. So from our perspective Bill, as we size up these projects, well we have been wrong and they haven’t always turned out to be in line and meet our expectations more often than not they’ve actually exceeded them and created more value than what we underwrote to justify the investment.
William Crow: Okay. That’s helpful, Jon. The other topic I think I’d probably speak for everybody in saying that we appreciate that you reaffirm the 6% to 7% industry outlook for the year. Last quarterly call you indicated in response to a question that you could imagine that a scenario where RevPAR growth accelerates for the industry in 2016 in other words the second derivative kind of reverses. I’m wondering if how the last quarter and your outlook for the balance of the year has changed that at all for the industry.
Jon Bortz: Well, in the case of Pebblebrook, it’s making it easier for us to do that, because certainly the comparisons on a RevPAR basis get easier, again the focus is top line. And I think as I mentioned in our remarks, particularly as it relates to these properties where we’re driving ADR up but we’re loosing more occupancy than we thought. As the teams become successful and active and in a couple of cases we had to completely change the teams which does slow down the process and was a factor in Q2 results and results for the second half of the year, the lowering of the top line. They will pick up a lot of momentum and there will become a point where we’re not loosing excess occupancy. In fact we might not be loosing occupancy at all while still driving those rates higher and that’s ultimately what we hope to achieve if we’re right about where these properties should have been positioned but for other factors in their prior lives. So I think on an overall industry basis I think the comments I made about the convention markets in general they all seem to be much more positive next year than they were this year and it think that boards well for an ability in the industry to drive RevPAR higher. And I think you’re beginning to see and it’s inching up but you’re beginning to see more consistent ADR growth numbers in the 5s now for the industry where they were more consistently in the 4s and we think that’s going to continue Bill and we think there’s an opportunity potentially for that, those increases to accelerate into 2016. Again we’re not forecasting that right now, we’re not forecasting anything for ’16. But we think its more likely than not that actually certainly ADRs will be significantly higher next year but also RevPAR higher. I mean construction deliveries continue to come in more slowly than what we’ve been forecasting. And so, we think the increase for next year, we’re going to get to a lower level next year on average than what we thought six months ago in terms of our outlook for supply growth in ’16 just as our supply outlook for ’15 is probably more likely to be at the low end of our range that we provided at the beginning of the year than at the middle or higher end of the range.
William Crow: Thank you, Jon and Ray. I appreciate the time.
Raymond Martz: Thanks, Bill.
Operator: We’ll go next to Shaun Kelley with Bank of America Merrill Lynch.
Shaun Kelley: Hi. Good morning, Guys. First of all thank you for all the color. I think there are a lot more generalists listening in this call than typically do. So, I think you’ve been pretty clear on the overall RevPAR outlook, Jon. But I did want to dig into the sort of pushing price phenomenon at some of the hotels. Typically what we see as kind of outsider analyst is, if you get late cycle you tend to push more price and possibly kind of by choice start to sacrifice some occupancy. But for the more generalist audience that I think is on this call, could you just comment a little bit about, if that’s actually what you think you’re doing or if this is more hotel specific for Pebblebrook because really what you’re doing is changing out management teams and in the near-term there’s some disruption related to some of those more operationally geared changes?
Jon Bortz: Yes. So, it’s really both -- its really both going on at different places. Each business and each market are obviously different and there’s more pricing opportunities in certain markets than there are in others. And obviously the start comparisons would be to take San Francisco, Portland or Seattle and look at double digit ADR increases versus New York at little to know ADR increases. And that all comes from competition pricing power and demand that’s willing to pay more and needs to pay more in order to get into the market and do the business that they need to do or enjoy the leisure activities that they desire. And so within our portfolio both things are happening. I mean if you think about, if folks think about our portfolio overall, last year we ran 85% occupancy for the year versus an industry at 64%. Now our markets all are much stronger. So the major cities are running anywhere from the mid 70s or upper 70s into the low to mid 80s, and New York in the upper 80s in the market. So the focus has to be on ADR growth, because there isn’t much more occupancy growth in many of those markets and at many of those properties. And so, there is a strategy there and we’re constantly testing rates and experimenting rates and experimenting with changes and customer mix, and some of them work and some of them don’t. And some of them were successful with pushing customers away and that was a strategy but we’re less successful on a short-term basis in getting new customers back, and Shaun as you indicated and I mentioned earlier sometimes its because you don’t have the right team, they’re not being effective or you have transitions going on in your team, and these are businesses and they need people to run them and they need people to sell the rooms and be effective in the market place. So, both of those things are going on within the portfolio. Many of them are specifically strategic, that are specific to the properties and some of them are driven by the market opportunity overall where ADR growth is the only thing, is the only opportunity there which, by the way is better than occupancy growth because as we all know there is less expense, marginal expenses tied to ADR growth than there is to occupancy growth.
Shaun Kelley: I appreciate all the detail. Second question would be, you talked about sort of a gap between West Coast and East Coast. And I think you were pretty clear that some of that was, because of what it was performing at your hotels this quarter in terms of that gap narrowing a little bit more than it maybe has been in the last few quarters. My question is a little bit more strategic, but you guys have portfolio that SKU the West Coast. You’ve been pretty aggressive in some more unique markets like Seattle and Portland. Are you still more bullish on the West Coast broadly than the East Coast or do you think that’s starting to balance out a little bit with what you’re seeing in DC and Philly?
Jon Bortz: So I think our operational outlook would be that things are going to remain stronger on the West Coast. There is less supply, its coming later. And so, and the local economies continue to be stronger out in the vast majority of those West Coast markets. The improvement in DC for the quarter was very encouraging but yet you’re not going to, we’re not going to like -- you’re not going to like what happens in the third quarter. So the convention calendar is very weak in the third quarter in DC as opposed to a very stronger convention calendar in Q2. And so, we’re not over the hump yet. I think we’ve certainly come off the bottom in DC and there’s an opportunity next year for the market to be better and maybe get to being an equal performer from an industry perspective. Government travel is improving, government demand is improving. The DC market overall is much healthier than it was a year. There’s a lot more employment growth going on now than there was a year ago. But I don’t think we’re quite there yet. I think the third quarter in particular is going to be a struggle. Philly, I would say is better than DC. It currently has very little new supply. It’s not really going to seen much until late ’17 or 2018. There’s pretty healthy leisure growth and then we begin to see some convention growth in ’17 and ’18 which is a reflection of the city having solved the labor problem that really put a damper on bookings for 2014, ’15 and ’16. So, we are seeing good growth in Philly. It will be aided by the Family Convention and the Pope visit in September, and then next year it will benefit from the Democratic National Convention as well. So a couple of events that will add a little extra juice to the market which we think could push it up to being a market performer compared to the industry.
Shaun Kelley: Perfect. My last question which is pretty simple is, do you think New York City can be positive in the third quarter?
Jon Bortz: I think it can be. I think its going to be close. I think it will be flat to -- our guess would be flat to up to for Manhattan and we’re certainly seeing some encouraging signs in the market. The other thing I would say is we’ve -- we did our update of our supply outlook for New York. It’s in improved since a year ago. We’re starting to see starts happen more slowly despite the fact that there is a ton of hotels that people would like to develop. It seems like financing is getting a little more difficult and then deliveries are clearly taking much longer even than the extended periods that we thought construction would take. And by the way we’re seeing that in other markets as well. There is a labor shortage, particularly skilled labor. We’re seeing 5% to 10% increases in development costs on an annual basis right now in the major cities. And so, in New York we’re looking at -- this year now, I think our forecast was in the 4s last we talked, we now think it will be well down into the 3s maybe as low 3%, and we think next year is likely to be in the same range maybe 3%, 3.5% in terms of delivery. So that’s definitely better than what we thought a year ago. Some of the things that were supposedly under construction were just demolition of buildings and clearing of sites, but construction hasn’t started yet on those even though some of them are going into the Smith Travel numbers for start. So, we walk every site, we take pictures, we contacted developers, they all lie of course, so we do our own assumptions about deliveries and schedules. But I would say that it’s a little bit more encouraging than it was a year ago.
Shaun Kelley: Great. Thank you for all the color and for the detailed call.
Jon Bortz: Sure.
Raymond Martz: Thank you, Shaun.
Operator: The next question is from David Loeb with Baird.
David Loeb: Most of the topics have been pretty well covered, but Jon, just to continue a little on New York, can you just give a look into next year. How do you see that market performing on easier comparisons in the first half for example or for the full year, and then similarly San Francisco as you look out over the next couple of years particularly with the Moscone expansion project going on. Do you see any softening in demand there?
Jon Bortz: So in New York, it’s a tough one to forecast. My gut tells me its, it will be a little bit better than this year. Now a part of it is going to depend upon what happens with the dollar and international exchange and if we can get a re-up lift of capturing greater share of the global growth in travel. Our sense is because of a lower level of supply growth that, there’s an opportunity to see a little more pricing power again in the stronger part of the season, but not so much in the first four months of the year. And even though the comparisons are easy, we still worry about competitive pricing and the behavioral changes resulting from these loyalty programs that drive -- are driving the operators and owners to achieve 95% occupancy levels. And so there have been a lot of discussions with the brands on that because it is an issue in New York and some of the other high occupancy and high rate markets like DC, San Francisco, West LA, Seattle, Portland. We do see this as an issue and we think they’re all going to change. Now it may not all happen next year, it might roll into 2017. But we’re being led to believe that, there’ll be changes in the programs that can eliminate this motivation to lower pricing to drive occupancies up to 95%. And I think that will help pricing power in the market place. As it relates to San Francisco, we have a better convention calendar next year. The Moscone Center has done a really good job from a relationship standpoint with the conventions, and so, next year actually looks to be better and not impacted by the expansion and renovation. We see a little bit of trouble in the spring of ’17 and we just heard from the convention authority for completion purposes to stay on schedule to trying to move around five conventions and to create a, basically an empty, a vacancy period of about I forgot what it was maybe six or eight weeks in the spring. And they will need to relocate one convention out of San Francisco. So, I don’t know what the pace is for ’17, maybe ’17 will be more like this year, David, but I think ’16 is going to be better.
David Loeb: Okay, great. Thank you.
Operator: We’ll go next to Wes Golladay with RBC Capital Markets.
Wesley Golladay: Hi. Good morning, guys. Looking at those four hotels where you’re doing the mix shift. Are you going to modify your strategy or is this just a timing issue?
Jon Bortz: Just a timing issues, Wes. It really is all about getting out and getting new customers and competing in the market and that just wasn’t being done. And where they were doing it, they were doing it at lower rates. So, we’re continuing down the path. There were some periods of time earlier in the year, some in Q2, some in Q1 where the message of higher ADR was taken literally. And so, we probably gave up too much occupancy unnecessarily. So we pushed out some business that we didn’t really want to push out because the focus was only ADR and so we -- we had detailed discussions about the strategies and tactics to make sure that people understood that, there’s a balance. We still need revenue and so, there’s business that we don’t want, yes. But lets -- lets not push everything to an extreme all at once, because this is going to take us a couple of years in order to rebuild the business and improve the overall pricing.
Wesley Golladay: Okay. Do you think you can re-couple with your initial expectations by the end of this quarter?
Jon Bortz: I’m not sure that I fully understand the question, but I would tell you that we’ve lowered our expectations for the rest of the year at all six of these properties, and that’s the majority -- the vast majority of the reduction in our RevPAR outlook for the year. So, I guess, the answer would be, no. No, we’re not going to get back to what our expectations were for this year as it relates to any of those six properties.
Wesley Golladay: Yes, I guess I was trying to get at, by I guess the end of this quarter, you had a particular RevPAR or ADR goal, I know there’ll be some timing you’ll miss the RevPAR because of the timing issues. But would you re-couple with your original expectations I mean your mix shift targets I guess is what I was getting at?
Jon Bortz: Yes, well the answer is, no. We’re not going to hit our mix shift targets by next quarter and again we reflected in our numbers. It’s going to take us a little longer to get where we want to go and again part of that is, the teams and having to change the teams and part of it was overly enthusiastic expectations on our part about how quickly we could accomplish some of our goals.
Wesley Golladay: Okay. And then, just a macro picture, you got another San Francisco hotel in a big West Coast footprint, are you worried about being too much concentration to certain industries such as technology?
Jon Bortz: Well, it’s a risk. I think as the world evolves here we’re all more exposed to technology and the creative industries, that’s where the job growth in the U.S. and obviously you’re seeing large pockets of that outside of San Francisco in New York, in Seattle, in Portland, in Boston, in San Diego, in Austin, that’s the fact of life. And I think we’re all going to be exposed to a little more volatility within the industries that are on the creative side, because they seem to be so much more tied to capital and capital flows. And we know that those are not consistent through the cycle and we’re going to have to live with that greater volatility. And I think the, if we go back and look at markets where this is occurred more densely like San Francisco and -- its more than compensated for by the barriers to entry in those markets for hotel development and thus we believe that ultimately while we might have some more volatility in a downturn, we’re going to have more value creation and more growth in the long-term.
Wesley Golladay: Okay. Thanks a lot guys.
Operator: And we’ll go next to Lukas Hartwich with Green Street Advisors.
Lukas Hartwich: Thank you. Good morning, guys.
Raymond Martz: Hi, Lukas.
Jon Bortz: Good morning.
Lukas Hartwich: I’m just curious. So are you guys looking at changing any of your operators at any of your hotels?
Jon Bortz: Are we looking at them? We’re always looking. We always look at the effectiveness of our operators, but I know that’s not the question that you’re asking. So the answer to your question is there isn’t anything we can talk about at this time other than our properties in San Francisco continue to be managed by Kimpton.
Lukas Hartwich: Okay. Does your guidance reflect any changes in your San Francisco hotels in terms of the operators?
Jon Bortz: So in general Lukas, when we put together our outlook and our forecast, we do our best to anticipate what we believe is likely to happen in all regards. Clearly by our efforts in Q2 we didn’t do such a good job at the top line in forecasting Q2, so we’re clearly not -- we’re a long way from being perfect and accurate all the time. But our outlook for the second half of the year contemplates as much as -- as well as we can forecast all the things that we believe will happen with the portfolio in the second half of the year.
Lukas Hartwich: All right. That’s helpful. And then I’m curious to the 2Q performance in San Francisco I think you said it was 3.7% up in RevPAR. Was that entirely driven by Hotel Zephyr or what's going on in that market?
Jon Bortz: So we had some weakness down at the wharf, specifically with our Argonaut property which has a stellar performer since we bought it, and it had a RevPAR decline of 0.9%. And we think it was primarily the lack of, what is a fairly minimal group base where we typically run about 18% group at the property and there was a lot more competition from some of the big box folks in the city because the convention calendar was weaker in Q2 and will be in Q3 as well. And so that property was specifically an underperformer. Most of the rest of our properties did pretty well in the quarter.
Lukas Hartwich: Okay. That’s helpful. And then lastly, can you just update us your thoughts on acquisitions today?
Jon Bortz: Sure. Well, we continue to be an active looker in the market place and as you know we made two acquisitions last quarter the Tuscan and LaPlaya. So where we can find and be successful from a pricing perspective assets where we can add significant value that we think are in markets with strong barriers to entry. Where there is a unique physical attribute for that property or where there is a complex situation, we would expect to continue later this year to pursue assets. The other thing, we continue to benefit from again as opposed to competitive situations are when operators come to us with opportunities specifically off market and if those provide all the same opportunity and attributes I just mentioned and the economics work, then we have an interest.
Lukas Hartwich: Great. That’s it for me. Thank you.
Jon Bortz: Thanks, Luke.
Raymond Martz: Thanks, Luke.
Operator: Next question is from Jeffrey Donnelly with Wells Fargo.
Jeffrey Donnelly: Good morning, guys. Maybe just building on Lukas’s question. Jon, can you talk about asset pricing that you’re seeing out there in the market. I think early in the year it felt like a lot of your target markets were kind of at the low 5% cap rate on NOI. But we’ve seen weak valuations pull back and I think that maybe has taken some of the retail of the market. I’m curious if you think that’s had an impact on market pricing as of yet or if you’ve seen the contrary?
Jon Bortz: I don’t think we enough time yet Jeff to come to any conclusion. Our sense is that the REITs are being replaced by foreign capital in some of those gateway markets in terms of being the driver of values. And so, at this point my guess is there might be some softening in pricing very, very minor from what were pretty aggressive levels over the last 18 months. But I’d say, we don’t have enough information yet. There’s not enough data in our set to come to any conclusion.
Jeffrey Donnelly: Do you think we’re going to be set up for maybe a repeat of what we saw in the mid 2000s where private capital effectively outpaced public equity valuations and it actually kind of created more of an M&A environment?
Jon Bortz: I think that’s possible particularly because of the amount of capital available on the private side and the level of leverage that’s available. And when you combine that with large amounts of foreign capital looking to be put to work in the U.S. particularly the gateway cities, I think that’s a possibility. I think the one challenge that I heard from private equity groups is that with the companies running at much lower leverage levels in order to be successful and pay and have an offer accepted the premium has to go on a lot more equity, because there’s more equity and less debt in these companies. And so, while the buyers can get to the same leverage levels the overall nominal premium relative to the investment seems to be a headwind perhaps for some of those acquisitions. So I’ll have to wait and see how the two - whether the two offset each other or not.
Jeffrey Donnelly: And just, two last questions. I guess, this was related to Kimpton, but I’ll ask maybe more generally. Is I'm just curious, because trying to think about disruption to the extent whether it's Kimpton or other chains. To the extent you change out the manager or the brand on a hotel, are you able to talk about how much of your revenues typically come through a particular brand, to maybe just remind us of that? Is it sort of 15%, 20%, 30% of your bookings? I know they're not lost permanently. But I guess I' thinking of it as, is that a component of revenues is most at risk of some sort of disruption to the extent there is a change?
Jon Bortz: Yes, unfortunately the data doesn’t really -- isn’t really helpful because a lot of business gets pushed through, the channel is controlled by the brand, but it’s not representative of business that they’ve actually generated. So, I think our experience tends to be that with the big brands there is anywhere from a 6 to 12 month impact. It’s not huge, and frankly it’s usually offset by cost savings. With the smaller brand and independent hotels, I’d say it’s generally a three, at most six month kind of impact period. And the impact tends to be materially lower just because, what people are seeking out isn’t necessarily a loyalty to a brand per say, but a loyalty to a property, its personality and attitude and the attitude of the service that’s being delivered. And I don’t think that changes an independent or a small brand property when you change the manager. So its always bumpy Jeff, but its not -- we don’t think of it as being hugely or materially bumpy, and it’s relatively a short period of time.
Jeffrey Donnelly: Okay. And maybe just one last question. I think as Jon had said earlier, I think there are a lot of generalists on these calls and among them I find there’s also a good deal of concern around the sort of the threat of Airbnb particularly in the absence of information or real data around their success thus far. Are you able to quantify maybe in your opinion whether Airbnb has had a measurable or material impact on your business?
Jon Bortz: We don’t have any data to do that, what we can tell you anecdotally is where we see the biggest impact is around events particularly either leisure driven events convention events that are where much of your attendees are paying for their lodging. And so if you look at business around Marathons as an example, where we used to have really intense compression and an ability to price that maybe what the customer would describe as sort of gouging rates. I’d say we’ve lost a lot of that ability at this point within the major markets where these events take place. And so, while Comic-Con is great in San Diego and God knows we don’t want that to go anywhere else unless its one of our markets. You don’t have the same marginal pricing capability today because of how much of that demand is getting filled by Airbnb hosts versus it having compressed and even pushed out into the suburban markets and even up to Orange County as an example for Comic-Con to some extent. I think that will change over time Jeff, as the industry becomes regulated. And when there is enforcement of the laws that take place, but that’s still going to take several years. We’re seeing it happen. So particularly again and interestingly in many of the more liberal cities like Santa Monica and West Hollywood have passed bans, complete bans on Airbnb in the market and now it’ll have to figure out as how do they enforce it and where does the money come to enforce that. So, it changing, it’s having an impact in a lot of areas other than just lodging. It’s having an impact on housing availability. It’s having an impact on affordable housing. It’s having an impact on the quality of life in apartment buildings and condominium buildings and some neighborhoods. And so the impact is far broader in a negative way than just the lodging industry. And so, I wouldn’t say that it’s been material on the lodging industry but I would say that anecdotally it’s been noticeable.
Jeffrey Donnelly: That’s helpful. And who wouldn’t want a Comic-Con visitor staying in their house. Well thank you for that. That’s all I have.
Raymond Martz: Fair.
Operator: And our next question is from Howard Bryerman with PENN Capital.
Howard Bryerman: Yes. Thank you, Jon. Actually the previous gentlemen asked the major question. But just kind of maybe as a follow-up to the Airbnb question, there’s somewhat of a domino effect where maybe Airbnb infringes on the economy sector and then the economy sector infringes on the middle sector and so on up the chain. Do you think maybe that’s Airbnb indirectly may be some of the reason why you maybe having difficulty attracting the upper upscale client base. Because maybe the -- what wasn’t your customary competitor is kind of reaching up and maybe grabbing that aspirational customer in the past would have gone to an upper upscale hotel?
Jon Bortz: Howard, I think the -- there is a very complex dynamic in the hotel industry, and we’re always -- we’re always out there saying, when supply gets added to a market, it doesn’t really matter whether its economy or its luxury. I mean it matters a little bit obviously, but ultimately the market is dynamic and as you indicated, the economy competes with the midscale and midscale competes with the upscale and upscale completes with the upper upscale and own out to luxury. And so, Airbnb is adding supply into the market. It does have an impact. And I would add not all Airbnb product is staying in somebody’s extra bedroom, in fact most of its not. A lot of it is fully vacant apartments, in some cases homes and in some cases very nice homes. So it isn’t just -- they’re not pulling business just from the economy segment. But I would say, we’re not having trouble attracting higher paying customers. Our issue is the time it takes to go out and find those customers and get them into properties where we’re repositioning hotels. I mean we don’t have a problem -- haven’t had a problem with getting significant rate increases at the vast majority of our hotels within our portfolio when the markets are healthy which is the case in most of our markets. Clearly there is a pricing issue overall in the ability to grow rate at much at all in New York. But that’s not the case in the rest of our markets.
Howard Bryerman: Okay. Great. Thank you.
Jon Bortz: Yes. Thank you.
Raymond Martz: Thanks, Howard.
Operator: It appears there are no further questions at this time. Mr. Martz and Mr. Bortz I’d like to turn the conference back to you for any additional remarks.
Jon Bortz: Well, thanks everybody for participating. Hopefully today will be better than yesterday and tomorrow or Monday will be better than today, and we’ll continue to focus back on the real fundamentals of the industry and not get lost in some of the noise that goes on at specific companies. Thanks very much. We’ll talk to you next quarter.
Operator: This concludes today's call. Thank you for your participation.